Operator: Good day and welcome to Kopin Corporation second quarter 2009 financial results conference call. Today’s call is being recorded for Internet replay. You may access an archived version of the call on Kopin’s Web site at www. kopin.com. (Operator instructions) With us today from the company, are Chairman and Chief Executive Officer, Dr. John C. C. Fan and Chief Financial Officer, Mr. Richard Sneider. For opening remarks, I would now like to turn the call over to Mr. Sneider. Please go ahead, sir.
Richard Sneider : Thank you and good afternoon everyone. I'll begin today's call by taking you through our Q2, 2009 financial results. John will then discuss our business highlights and our strategy, after which we will take your questions. Before we begin, let me remind everyone that during today's call taking place on Tuesday, August 04 of 2009, we will be making forward-looking statements as defined in the Private Securities Litigation Reform Act of 1995. These statements are based on the company's current expectations, projections, beliefs, and estimates and are subject to a number of risks and uncertainties. Potential risks include but are not limited to demand of our CyberDisplay and III-V products, market conditions, foreign currency exchange rates, funding for US military programs, and other factors discussed in our most recent annual report on Form 10-K and our most recent quarterly report on Form 10-Q, and other documents filed with the Securities and Exchange Commission. The company undertakes no obligation to update these forward-looking statements made during today's call. Starting with our financial highlights; total revenues for the second quarter of 2009 were $28.2 million, up 9% from the comparable period in 2008, and 31% higher on a sequential basis. By product line, CyberDisplay revenues rose approximately 31% year over year and 22% sequentially to $17.9 million. Sales of our display products for military applications drove the growth in our display business. Revenue from military products increased to $13.7 million, up 104% from Q2 of 2008, and 21% from the first quarter of this year. For the six months ended June 27, 2009, sales of our display products from military applications was approximately $25 million as compared to $14 million for the first six months of 2008, a 79% increase. Reflecting our previously announced strategy of deemphasizing low and midrange digital still cameras in favor of higher-value applications, display sales from consumer electronic applications were $2.1 million in Q2, down roughly 45% from the same period in 2008 and 5% sequentially. For the six months ended June 27, 2009, sales of our display products for the consumer electronic applications were down 57% to $4.3 million. The effects of the macroeconomic climate on the consumer electronic market continued to affect the sales of our video eye wear products. Revenue for eye wear applications was $0.3 million for the second quarter as compared to $1.6 million a year earlier, and $0.4 million for the first quarter this year. For the six months ended June 27, 2009, sales of our display products, for eyewear applications were $0.7 million as compared to $3.2 million for the first six months of 2008. III-V product revenues rebounded from the first quarter improving by 51% to $10.4 million. Although III-V revenues were off about 15% from Q2 of 2008, the sequential increase in revenue is an encouraging sign that reflects momentum in certain segments of the wireless market, namely Smartphones and other multimedia mobile devices. III-V revenues were $17.2 million for the first six months ended June 27, 2009 as compared to $24.3 million for the same period in 2008. Our strategy focusing on higher-value applications continued to result in improved manufacturing efficiencies. Gross margins for the second quarter were 26% of net product revenues compared with 23% of the second quarter 2008, and 29% in the first quarter of this year. The year-over-year increase is attributable to sales mix, specifically the increase in military sales. The sequential decline is attributable to higher material costs in the second quarter resulting from a redesign of certain military products. On a six-month to six-month comparison, gross margins are up about 300 basis points as a result of the increase in sales of displays for military products. On the expense side, research and development expenses were $3.8 million or 13% of second quarter revenues compared to $3.8 million or approximately 15% of revenues for the second quarter of 2008. Selling, general and administrative expenses in Q2 of 2009 were $2.6 million or approximately 9% of revenue compared with $5.1 million or approximately 20% of revenue in the second quarter of 2008. Bad debt expense was $1.5 million lower in Q2, 2009 as compared to Q2, 2008. The reduction in the allowance for bad debt is due to a reduction in receivables from KTC. When KTC experienced liquidity problems in 2008, we established a reserve for their net receivables to us. Subsequently, the net receivable has been reduced. In addition, professional fees were $0.4 million lower in Q2, 2009 compared with Q2, 2008. Turning to the bottom line, net income for the second quarter was $3.7 million or $0.05 per diluted share, based on 67.5 million weighted average shares outstanding. This compares with a net loss of $1.7 million or $0.02 per diluted share for the second quarter of 2008 based on 67.7 million weighted average shares outstanding. Year to date income is $5.6 million as compared to a loss of $0.7 million in 2008. EPS on a fully diluted basis was $0.08 per share for the first six months of 2009 as compared to a loss of $0.01 per share for 2008. Financial results for the three months ended June 27, 2009, include a $0.7 million loss related to foreign currency fluctuations and $1.5 million gain from the sale of certain patents that we no longer use. The comparable 2008 quarter results include an impairment charge of $0.7 million related to our equity investments in a non-marketable security and a gain of $0.4 million from foreign currency fluctuations. Year to date, we have received $4.1 million from the sale of patents we no longer use. Cash and marketable securities at June 27, 2009 increased to $105.8 million from $100 million at the end of 2008. The $5 million increase is the net of $12.2 million of cash generated from operating activity, less $0.5 million of capital expenditures and $5.3 million from the repurchase of our stock. We continue to have no long term debt and we continue to expect capital expenditures for 2009 to be in the range of $4 million to $8 million. Accounts receivable decreased to $15.9 million at June 27, 2009 from $19.6 million at December 27, 2008. Inventory was $12.8 million at December 27, 2009 as compared to $13.3 million at the end of the year. Depreciation and amortization for the first six months of 2009 was $3 million compared to $2.7 million for the same period in 2008. To bring up to date on our 15 million stock buyback plan; during the second quarter, we purchased 1.5 million shares of our common stock for approximately $4.4 million. Year to date, we have repurchased approximately 2 million shares for $5.7 million. As previously announced, Kopin plans to buy shares in the open market or through private negotiated transactions from time to time subject to market conditions and other factors and in compliance with applicable legal requirements. The plan does not obligate us to acquire any particular amount of stock, and can be suspended at any time at the company’s sole discretion. We also announced an increase in our ownership of KTC, which John will discuss shortly. We anticipate consolidating KTC in our future reporting. We are maintaining the guidance that we previously provided on our first quarter 2009 news release and conference call. That is, we expect military display revenues to continue to grow in fiscal 2009, while sales of our commercial display products will decline as a result of our previously announced strategy. We expect 2009 revenues to be in the range of $90 million to $110 million. And with that, I will turn the call over to John.
John Fan : Thank you, Rich. Good afternoon everyone, and thank you for joining us on today’s conference call. Let me begin by saying I'm pleased with the strong performance we delivered in the second quarter, particularly in what has been a challenging global business environment. In addition to being up 9% year over year, Q2 revenue increased 31% sequentially. This growth was driven by military display products as well as the III-V product lines. The combination of these results enables us to deliver a net income of $3.7 million in Q2, our fourth consecutive quarter of profitability. This is a very good achievement in view of the deep global recession during this time period. I have just returned from a trip to Asia where the talk is of recovery occurring in Taiwan and China, we shall have to wait and see whether it is true, but it is good to hear some encouraging economic news for a change. While overseas, I met with a number of current and prospective customers, and with several of our manufacturing partners. Along the way, I had a unique opportunity to preview a number of remarkable new mobile devices that are now in development as well as learn about several breakthrough products for the consumer industrial product areas that we will be hearing more in the quarters ahead. One thing many of these new products have in common, it is Kopin technology. In the 1980s, we pioneered the ability to manipulate compounds at a common level to produce unique semiconductor based products that’s small, fast, strong, and power efficient. Nearly 25 years later, Kopin continues to lead the market with innovative technology that’s transforming the way information is shared in today’s high-speed mobile world. We want the end-user to see the finished product be it their cell phone, a Smartphone, a thermal weapon sight, a video eye wear, while often goes unnoticed, it is still required to engineer what power those products. For example, our uniquely designed HBT transistors enable customers to design integrated circuits; they have excellent sensitivity, improved linearity, greater output power by maintaining bandwidth, efficiency and noise characteristics. In CyberDisplay, our technical advances enable us to reduce power consumption of normally power hungry high resolution XGA and SVGA LCDs to less than 30 milliwatts at full video rates. This is actually a very important innovation since our displays are targeted for mobile applications of which power consumption is a critical differentiation. Our achievements are direct result of continued commitment to enhance our manufacturing know-how and supply technical expertise. The fruits of these efforts are seen in our product and drove our patent portfolio. This strength differentiates Kopin. We have been successfully executing our strategy to drive values for our customer. Now let me briefly discuss performance of our product lines, beginning with CyberDisplay. As Rich noted, display revenue increased approximately 31% from the second quarter of 2008, reflecting our continued ramping up of our products in the US Army multi-year Thermal Weapon Sight programs. At $13.7 million, revenue from display applications increased more than 100% on the same period in 2008. Military revenue now accounts for approximately 77% of total display revenue for the quarter compared with 49% for the second quarter of 2008. We expect our military display products to generate further momentum as the Thermal Weapon Sight program continues its ramp, and our products are integrated into other weapons systems under development. The performance of our military display program is a direct result of aggressive strategy investments we are making to enhance the performance, efficiency and manufacturing capacity of our CyberDisplay product lines. As we noted in our release, our gross margins improved 300 basis points from 23% a year earlier. I would believe it not only reinforces the value of our investments we have made, it also validates our strategy to focus on higher value applications. Kopin’s proven ability as a display supplier for mission-critical weapon systems has helped us to build new relationships with industry-leading technology partners. A prime example is our investment in the new Golden-i concept, a revolutionary multimedia headset with a potential to transform portable computing for military, industrial, and high-end consumer products. Weighing only three ounces, Golden-i features a virtual 15 inch SGVA resolution display image and natural speech recognition interface. It is the world’s first wireless, voice-command controlled hands free micro-display system, and is initially targeted for industrial market. We are excited to have been working closely with our strategic business partners, including Microsoft, Motorola, Nuance Communications and Texas Instruments, as we begin Golden-i field testing. Thus far, the feedback from our Golden-i concept product has been outstanding. The product concept was debuted in Las Vegas in FIATECH Conference in last April, and since been demonstrated at two Microsoft Technology conferences in May and July. Microsoft now plans to demonstrate Golden-i demonstration units in several more new conferences coming up. These included AIM Process [ph] teleconference late on this month, the Embedded Systems Conference in Boston, and the Tech-Ed Conference in Berlin, as well as the Professional Developer Conference in Los Angeles. We are very excited about the progress so far has been made, and we look forward to a long and rewarding relationship with those outstanding companies. On the eye wear front, our revenues are off significantly from year ago, but given the current economic slowdown this is not unexpected. Since our current customers tend to be small start-up companies many are still feeling the effect of a chilly credit climate. They continue to work to improve their working capital issues. However, my recent trip to Asia suggests the revival of eye wear business is likely to happen soon. Turning to III-V, we are very pleased with the 50% plus sequential increase in product revenue in Q2, perhaps signaling that the recession is beginning to ease. We expect that demand will continue to improve in the second half of this year. Businesses are strengthening as strong – as new headsets ramping productions. Smartphones and other wireless devices are growing in popularity, and our integrated circuit panel is gaining market share. Clearly, the wireless industry’s migration to 3G is benefitting our customers. A 3G handset can require as many as 4 power amps per phone compared to 1 or 2 power amps in the conventional 2G phones. Hence, Smartphone demand is benefitting all of us. Wireless connectivity is a vital part of communication landscape, and our III-V technology is integral to the success of this rapidly growing market. To support our III-V progress as we move forward, we have entered into an agreement to increase our investment in our Taiwan based wafer engineering manufacturing product KTC. As we announced in this release, we are investing additional $6.3 million in KTC, which should increase our ownership in the company to approximately 87%. We believe that by expanding our investment, will enable us to more efficiently and cost effectively meet the global supply demand of our integrated circuit panels as the manufacturing moves from 4 inch to 6 inch gallium arsenide wafers. More importantly, by spreading our presence in Asia, we are capitalizing on the demand for Taiwan based high, fast growing foundry services, a demand fueled by the expanding telecommunications as well wireless markets. Before we open the call to Q&A, allow me to stress a couple of closing comments. First, our military display and III-V product lines are performing well, and we expect them to continue to contribute meaningfully to our results in 2009. Second, our operational execution and financial strength put Kopin on solid footing for the future. On the operation front, our CyberDisplay and III-V business a share common theme. We solved complex problems for customers with proprietary, highly engineered solutions. Our products enable customers to achieve and surpass the target market and cost advantages. Third, the combination of technical expertise and manufacturing skill, enabled us to achieve and maintain industry leadership in our core market. And finally, we are committed to maintain our strong financial position, even as we continue to invest aggressively in developing new technologies introducing new products. We believe our $106 million in cash and marketable securities and no long term debt reflect a fiscal discipline that should be important to our shareholders, especially in today’s uncertain environment. With that we are ready for questions operator.
Operator:
Brian Alger – Strata Capital Management : Hi guys, good afternoon. Nice quarter.
John Fan : Thank you.
Brian Alger – Strata Capital Management : Rich, just a couple of clarifying points. You mentioned the bad debt expense that wasn’t present in the quarter. How should we think about SG&A going forward? Is that going to come back up into the low fours or now that issue with the customer is resolved, should it stay down here?
Richard Sneider : No. Essentially, there is about $500,000 credit in SG&A expense. So that would normally bring that to a level of about 3.1, which probably the more apples to apples number. And again, that was even a little low for the quarter. So somewhere around 3.5 is really kind of the way you should be thinking about it.
Brian Alger – Strata Capital Management : Okay. So we got a little bit of one-time benefit this quarter just as it turned down on the SG&A line then?
Richard Sneider : That’s right.
Brian Alger – Strata Capital Management : Okay. Great. And then – and looking at the III-V business, obviously a fantastic rebound sequentially; and looking at your primary customers there, certainly their revenues didn’t jump quite that much, although they had nice quarters. Do you think the inventory restocking at the customers is completed at this point or do you think there is further restocking there to be had in the third quarter?
John Fan : Yes, this is John Fan speaking. I think that as the business coming along we are also adding new customers. So we believe that the growth will continue.
Brian Alger – Strata Capital Management : Okay. So I’ll ask the question in different way then, John. How much of the growth this part quarter came from new customer revenues versus existing customers?
John Fan : I probably should not break it down, but we do have new customers coming up.
Brian Alger – Strata Capital Management : Okay. Fair enough. And then just one final one, the consolidation of the new business, what shall we think of that in terms of – net effect on the operating profit line? Is that going to be accretive or dilutive to the net operating profit line?
Richard Sneider : For 2009, it will be really plus or minus 250,000.
Brian Alger – Strata Capital Management : Okay. So de minimis either way?
Richard Sneider :
Brian Alger – Strata Capital Management : Okay. Great. Thanks, guys.
John Fan : Thank you, Brian.
Operator: (Operator instructions) The next question is from Jeffrey Britt with Janney Montgomery Scott. Please go ahead.
Jeffrey Britt – Janney Montgomery Scott : Yes, hello. One question, ITT reported their Night Vision Goggle division was down 2% for the quarter, and I know you guys have been shipping to them. They did say they had a two-year backlog and they are at full capacity. Were you flat with them this quarter? That was the first question.
Richard Sneider : Actually, we are still in the qualification process with ITT. So we are still at low volume with ITT during this year. So we are not – it’s just not a sizable piece of our military business at this point. So their results really are not reflected in ours.
Jeffrey Britt – Janney Montgomery Scott : Okay. And second question, on the Golden-i, how do you plan to market that to Smartphone vendors? Would that be like through Motorola, or and would they have an exclusive or could you sell to say like the Apple Store on consignment, any thoughts there?
John Fan : Yes, this is John Fan speaking. It’s a very good question. Right now the Golden-i has been demonstrated in various conferences, the response is very good. In fact, the business is mostly working out by all our business partners. It most likely would not be marketed by us directly. It will be powered by us but marketed by our partners, and it would be industrialists go first, so it is not going to, for instance, a Smartphone first. It would be industrial application first and military followed, followed by consumers.
Jeffrey Britt – Janney Montgomery Scott : Okay. Thank you.
John Fan : Thank you.
Operator: (Operator instructions) The next question is from Raj Gill [ph] with Needham & Co. Please go ahead with your question.
Raj Gill – Needham & Co. : Yes, hi. Thank you for taking my call, and congrats on the good quarter. Just wanted to talk a little bit about the competitive landscape, what you are seeing across your product lines? If you could you give us a sense in terms of some of the win/loss metrics that will be very helpful.
John Fan : You are talking about both product lines?
Raj Gill – Needham & Co. : Yes.
John Fan : I will make few comments; maybe Rich probably can also make it. On the III-V product lines, as you would know, we have probably a third of the market share in the world. So all the phones – about third of all phones are made with our III-V product. We aim on the high end side, the Smartphone side, and there are other guys, especially from Taiwan, for instance, they continuously coming out with products, but we have all the Tier-1 customers and also the high end ones. So – now everything else, we watch them very closely our activity with KTC reflects that. We want to be able to have a very strong base in Asia. That’s one. I hope that answered your question. Then as you will know, the Smartphone requires more and more advanced EBI [ph] products as the transistors, and I think it lends towards our strengths. So we are very optimistic about there. On the display side, the military side, on the thermal gun sight and you know there are three customers we have. And we have the three ones that qualified to ship to the government Raytheon, BAE, and DRS. Currently, we provide to them solely. And there are, again other guys trying to get in there, but you know in military products, design cycle is so long. So we continue to improve our products and try to be sure that our position there will remain the same. On the consumer side, on the camera, actually in some way camera, they have some competition there. Competitions are not really that many. There is only – right now reduced on to 1.5 from Asia. But we took a strategic focus of moving away from it because the market – we’ve got the market margins is still too low. If you want to get in there, we would probably tend to get a very high percentage, but we don’t want to. On the eye wear, the margin is good, unfortunately the current suppliers of eye wears are too small and they have cash flow and working capital issues. But as I said in my conference call, we see a lot of activities now in Asia with some new products coming out. We believe the eye wear will rebound. Our market share there is probably over 95%. So I think we have a good shape there. So all in all, our market shares are good. Our core markets are good. The recession maybe there for everybody, but it affects us less than our competitors. We have lot of cash, customers love us, because they know we are here to stay, we have lot of technology. So we are gaining market share. So that competition is always there, but I think we are in a pretty good slope right now.
Raj Gill – Needham & Co. : Okay. Great. Thank you. And if you could perhaps discuss the gross margin trajectory, you improved margins pretty significantly sequentially. How you look at gross margin, especially with – going forward compared to the product mix of other companies.
John Fan : Rich, you want to make a comment down there?
Richard Sneider :
Raj Gill – Needham & Co. : Well, in going into the – dive a little bit – digging a little deeper, if you look at the CyberDisplay product business, what product mix do you expect there as a percentage of sales going forward? What’s the revenue ramp given the fact that you’ve got TWS production is coming online in ’09, how do you see that business progressing throughout the year and going into 2010?
Richard Sneider : We always just give gross product revenue guidance. Our total revenue guidance is $900 million to $110 million. We never really get into the individual component. But we can tell you historically the display revenue has run about 60% to 65% of the total revenue.
Raj Gill – Needham & Co. : Okay. And if you could give me or at least just size up the opportunity for the Golden-i, and how are you looking that in terms of the total addressable market, what type of – perhaps a market share or gross margin metrics on that particular business.
John Fan : Yes, I will make a comment there. I think we should not anticipate a lot of top line revenue from Golden-i even next year. Right now, it’s being field tested. The exciting thing is our partners whether be it Microsoft or Motorola, or Nuance, they consider this a total – it’s a very disruptive product. And it has many applications. In fact, our issue is really to work with our partners to focus the near term applications. Our feeling right now, the near term is industrial application, and even there our partners have identified very huge opportunities. And of course, the military is a hands free, it’s basically hands free cell phone/Internet computer device that allows you to do, including all the cloud computing. And that’s why Microsoft – especially Microsoft is showing this in many of their conferences. They say, this is what exactly that hands free computing should be. However, we are taking a very modest attitude in the sense that revenue for next year, although we think potentially can be very large, and that’s why all those top tier guys are very much involved with it, and have been involved for a quite while. 
Raj Gill – Needham & Co. : Okay. Great. And the last question from me in terms of usage of cash. I know mentioned you bought a decent amount of share this quarter. Should we expect that to continue going forward as the primary usage of cash, or is there other strategic alternatives you are looking at?
Richard Sneider : Right now – we are always inundated with strategic alternative, as you say, from various folks. Right now, stock buyback is probably the primary use of cash other than CapEx.
Raj Gill – Needham & Co. : Thank you, very much.
Operator:
Brian Alger – Strata Capital Management : Hi, guys, just a couple of quick things. John you mentioned the Golden-i isn’t expected to generate significant revenues even through next year. What’s it going to costs us in terms of R&D?
John Fan : In several millions, many of the R&Ds actually share and work with our partners. And we are providing several things; we are preferring that the units were designed. We have some overriding software and it’s worth a display, but a lot of parts are by Nuance providing the voice, the operation system is Microsoft CE, and many of the industrial design, other stuff, of course, plus people like Motorola is helping us, and TI provides the processors. So it is shared activities by many big players. So we are very excited about that.
Richard Sneider : And it is somewhat difficult to answer the question, Brian, because we are field testing it. So we think we are close, but the results from the field test will tell us whether we are or whether we have to do another reiteration or two reiterations.
John Fan : Yes, and it is not clear exactly which part to be work on, so – which part to be shared.
Brian Alger – Strata Capital Management : How should we think about it? Is this something where Kopin is from time to time allocating a couple of R&D engineers to it or there people dedicated full time to it? Or how does it work?
John Fan : Yes, it will be a group that has been working here dedicated for last few years. So it’s already embedded in there. So it’s nothing extra. It’s already embedded in the system for probably last two years in that group is there.
Brian Alger – Strata Capital Management : And just shifting gears completely, the consolidation of the subsidiary, you guys took care of that first quarter close, correct?
Richard Sneider : The closing occurred in July.
Brian Alger – Strata Capital Management : Okay. So what’s our current cash balance, Rich?
Richard Sneider : As of July?
Brian Alger – Strata Capital Management : Yes – post consolidation.
Richard Sneider : Well, we don’t disclose that. We never disclose a post number. In some respect, it’s kind of volatile if you think about it because you are essentially transferring the cash from one end to another and then you are going to consolidate that entity. And so the cash pretty much stays on the balance sheet.
Brian Alger – Strata Capital Management : So, net, we don’t see much change in terms of Kopin cash per share?
Richard Sneider : That’s correct.
Brian Alger – Strata Capital Management : Okay. Just wanted to make sure I was taking my note properly. Okay, guys. Thanks.
Richard Sneider : Yes.
Operator: At this time, we have reached the end of the Q&A session. I will now turn the conference back over to Dr. Fan for any closing or additional remarks.
John Fan : Yes. Thank you very much for joining us this afternoon, and we looking forward to keeping you informed or updated on our progress. Have a good week. Thank you.
Operator: And that concludes our conference call. Thank you for joining us today.